Operator: Please stand by your program is about to begin. Welcome to the Geospace Technologies First Quarter 2022 earnings conference call. Hosting the call today from Geospace is Mr. Rick Wheeler, President and Chief Executive Officer. He is joined by Robert Curda, the company's Chief Financial Officer, and Mark Tinker, CEO of Geospace subsidiary Quantum Technology Sciences. Today's call is being recorded and will be available on the Geospace Technologies Investor Relations website following the call. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. . We ask that you please pick up your handset to allow optimal sound quality.  And it's now my pleasure to turn the floor over to Rick Wheeler. Sir, you may begin.
Richard Wheeler: Thank you, Britney. Good morning and welcome to Geospace Technologies Conference call for the 1st Quarter of our 2022 fiscal year. I'm Rick Wheeler, the company's President and Chief Executive Officer, and I'm joined by Robert Curda, the company's Chief Financial Officer. Also with us this morning is Dr. Mark Tinker, CEO of our Quantum Technology Sciences subsidiary. I'll first give an overview of the first quarter, and Robert will follow that with in-depth commentary on our financial performance. After a few last remarks, we'll open the line for questions that Robert, Mark, and I will try to answer. Some of today's comments may be forward-looking as defined in the Private Securities Litigation Reform Act of 1995. This includes comments about markets, revenue recognition, planned operations, and capital expenditures. Such statements are based on our present awareness with actual outcomes affected by factors and uncertainties we cannot predict or control. Both known and unknown risks can lead to performance and results that differ from what we say or imply today, such risks and uncertainties include those discussed in our SEC Form 10-K and 10-Q filings. For convenience, we will link a recording of this call on the Investor Relations page of our geospace.com website. I encourage everyone to browse this site to learn more about Geospace and our products. Note that the information we record this morning is time-sensitive and may not be accurate at the time one listens to the replay. So yesterday after the market closed, we released our financial results for the first quarter of fiscal year 2022. The three months ended December 31st 2021 reflected a decrease in revenue of $10 million from last year's first quarter. However, last year's results were bolstered by $8 million received on our contract with the U.S. government to provide the U.S. Border Patrol with an advanced border security solutions developed with our Quantum Technology Sciences subsidiaries. However, looking further back than last year, first quarter revenue still represents a good start for fiscal year 2022, having exceeded all first quarter results of the previous 5 years. Contributions per rentals of our OBX Ocean Bottom Marine Nodes in the first quarter saw an increase compared to last year's same period. In addition, revenue included proceeds from the sale of more than 1700 OBX nodes out of our rental fleet. This purchase was made by the same international seismic contractor that last year, purchased 7,500 units. Nonetheless, our Oil and Gas Market segment remains challenged overall, as reflected by the decrease in revenue of more than 24% compared to last year. We believe this is the result of exploration and production companies or E&P companies, choosing to make minimal capital investments in new exploration and production despite higher oil prices. As hard evidence, recent reports show that discoveries of new oil and gas reserves in 2021, fell to the lowest levels recorded in 75 years. A&P Companies have instead directed cash towards shareholders in the form of dividends and stock buybacks, as well as toward reducing debt. We believe this trend will likely continue for some time. We mentioned in our last earnings release that we have received a request from a major oil company, for proposal of a permanent reservoir monitoring or PRM system. Yet, after a thorough evaluation, certain immutable terms and conditions of the author -- offer led us to decide not to provide a proposal. However, future PRM projects with this company are still possible and our ongoing discussions in engineering work on several different PRM system opportunities with other customers also remained very encouraging. Consistent with our business diversification strategy, revenue from our Adjacent Markets Products experienced an increase of 18% in the first quarter compared to last year. This is a historic level of first quarter revenue for this segment, and marks a great return for the investments we've made in this portion of our business. We expect this segment to see additional revenue later this fiscal year with the rollout of our Quanta's smart water valves and cloud-based control platform. Thus, along with other products in development to further expand our Adjacent Markets, this segment is very well-positioned to experience additional growth. In our Emerging Market segment, our Quantum subsidiary, generated very little revenue in the first quarter compared to last year's contribution related to our U.S. Border Patrol efforts. However, once firm federal budgets have been established, we believe we are well-positioned for follow-on Border Patrol work, as well as contracts with other government customers for our Border and perimeter security systems. Recently, variance of our SEDAR system were deployed in our joint industry partnership with Carbon Management Canada. These systems are yielding valuable information towards demonstrating SEDAR's capabilities for high resolution and low-cost monitoring at carbon capture operations, as well as other passive seismic interests. And with that, I'll now turn the call over to Robert for some financial detail.
Robert Curda: Thanks, Rick. And good morning. Before I begin, I'd like to remind everyone that we will not provide any specific revenue or earnings guidance during our call this morning. In yesterday's press release, our first quarter ended December 31st, 2021. We reported revenue $18 million compared to last year's revenue of $28.5 million. Our net loss for the quarter was $6.8 million or $0.52 per diluted share compared to the first quarter of last year's net loss of $1.1 million or $0.08 per diluted share. A breakdown of our Oil and Gas Market segments is as follows. Our traditional product revenue for the three month period ending December 31st, 2021 was 600,000, a decrease of 41% compared to the revenue of one million less last year. The decrease in revenue is due to lower demand for to remit traditional seismic sensor products. We expect continued low levels of demand for these products and other traditional seismic products and services, until seismic exploration activity increases and there is a depletion of underutilized seismic equipment owned by our customers. Our wireless product revenue for the quarter was $8.7 million, a decrease of 26% compared to revenue of $11.7 million last year. The decrease in revenue is due to lower demand for our OBX Knotel products, partially offset by higher utilization of our rental fleet. Q1 2022 revenue includes the sale of about 1700 OBX Knotel to a former lessee, while the same period of the prior year included a similar transactions for 7,500 OBX Knotels. Our reservoir product revenue for the first quarter was 336,000 compared to 29,000 for the same period last year. The increase in revenues due to higher demand for engineering and field services. We do not expect meaningful revenue for these products until we are engaged in a contract for the delivery of a permanent reservoir monitoring system. In the third quarter of fiscal year 2021, we received a request from a major oil and gas producer for the implementation of a PRM system. We declined to provide a bid to the oil and gas producer due to unfavorable commercial requirements in the contract. We continue ongoing discussions with other major oil and gas producers for possible PRM systems. Moving to our Adjacent Markets segment. Our industrial product revenue for the first quarter was $8.2 million, an increase of 14% compared to last year's revenue of $6.9 million. The increase in revenue is due to higher demand for our water meter connectors and cables, contract manufacturing services, and industrial sensors. Our engineering and supply chain groups have done an excellent job, aggressively working to mitigate COVID-19 supply chain shortages. We will continue to work these shortages without reducing product functionality or integrity. Imaging products revenue for the three months ending December 31, 2021 was $3.2 million, an increase of 27% compared -- when compared to $2.5 million from the same period last year. Higher demand for imaging products is due to a return to near normalcy for social gatherings that require banners, t-shirts, and other printed materials that advertise or commemorate such events produced by our customers. Revenue from our emerging market segments for the first quarter of fiscal year 2022 is a $137,000 compared to $8.8 million from the same period of the prior fiscal year. The decrease in revenue is the result of completing most of the obligations related to contract with you -- with the U.S. Border Patrol in the first quarter of 2021. Although we currently do not have any additional significant contracts, we believe our advanced seismic acoustic technologies and innovative data analytics are in the position to provide the U.S. Federal Government with high technology means and methods for protecting the U.S. Border and other strategic assets. Our consolidated gross profit for the first quarter was $1.7 million compared to $6.7 million last year. The decrease in gross profit was due to the reduction in revenue from our Emerging Market segments related to our contract with the U.S. Border Patrol, as I just discussed. The decrease is also due to lower sales of our OBX wireless products, partially offset by higher rental revenue from higher utilization of our rental fleet from our Oil and Gas Market segment. The first quarter of fiscal year 2022, operating expenses are $8.6 million. This is an increase of 5% when compared to $ 8.2 million for the first 3 months of fiscal year 2021. The increase is the result of higher R&D project costs, increased personnel costs, incremental operating costs from our Aquana acquisition, and an increase in general business expenses related to business operations. These increases are partially offset by a non-cash decrease in the fair value of contingent earn-out liabilities from our Quantum and Opta sites acquisitions. Q1 2022 cash investments into our property, plant, and equipment as $100,000 and cash investments into our rental fleet is $800,000. We expect fiscal year 2022, capital investments into our rental fleet to be minimal and less new rental contracts more in additions to our fleet, and investment in property and plant equipment could be as much as $2 million for fiscal year 2022. Our balance sheet at the end of the first quarter reflected $14.8 million of cash in short-term investments. We currently have no debt and own numerous real estate holdings in Houston and around the world, that are free and clear without any leverage. That concludes my discussion and I'll turn the call back to Rick.
Richard Wheeler: Thank you, Robert. As fiscal year 2022 progresses, our Oil and Gas Market segment will continue to face near-term commercial challenges that are difficult to forecast amidst today's uncertainties. Looking longer term, PRM system opportunities for this segment are in active discussion and do remain very promising. And we will continue to ensure that the terms and conditions for pursuing such projects contain appropriately balanced risks. Regarding our Adjacent Market segment, we are excited about the performance of this segment and its consistent path of revenue growth. These results give significant validation to our strategic moves to diversify our business and create revenue alternatives to our Oil and Gas product lines. Additional revenue alternatives reside in our Emerging Market segment, where the advanced security and intelligence gathering systems developed with our Quantum subsidiary are providing unique solutions to the U.S. Border Patrol. And these benefits are equally extendable to other government entities. We are also making headway in the migration of Quantum's SEDAR system technology for use in monitoring carbon capture and storage operations. This can open new revenue opportunities within our Oil and Gas Market segment. The advanced capability of these systems could well position us as the technological leader for monitoring operations in this unique developing market of carbon capture and storage. This concludes our prepared commentary. And so now I will to turn the call back over to Britney for questions. Are you there, Britney?
End of Q&A: Well, with that, I guess we'll end our call. So we'll be looking forward to our second conference call for the second quarter of fiscal year '22. Thanks and goodbye.